Takashi Niino: I am President and CEO, Takashi Niino. Thank you very much for gathering today. I will present to you our FY 2019 Earnings Results that were announced today. Page 2 shows today's topics. I will start on from the results of FY 2019 then move onto the forecast for FY 20 and closed by updating you on the progress of our mid-term management plan 2020, financial results for FY ended 2019. Page 4, this explains the adjusted operating profit and net profit, which we are disclosing for the first time today. According M&A as our growth strategy, we have acquired companies such as Northgate Public Services, and KMD holding. We decided to deal amortization cost of intangible assets and expenses for acquisition of companies that are recognized as the results M&A as adjustments. Adjusted operating in net profits excludes these expenses. By disclosing this adjustment, we aim at showing the underlying profitability so that the contribution of acquired companies to NEC's consolidated results can be clearly understood. Page 5 is the summary of FY '19 financial results, which we've conducted timely disclosure on April 24th. Excluding global business, other segments revenue increased registering a 2.4% growth year-over-year. Because of the structure improvement expenses that we incurred, adjusted operating profit was down by ¥2.6 billion year-on-year, leading the adjusted net profit to be down by ¥3.1 billion year-over-year. Yearend revenue remains unchanged from the beginning of FY 2019 at ¥0.40 per share. Page 6 shows the financial results of FY '19. Due to posting of structure improvement expense which we will be explaining detailed later, adjusted operating profit declined year-on-year. Free cash flow was negative ¥12.4 billion. In the absence of proceeds that was posted in FY '18 found the disposition of shares of [Indiscernible] [0:03:09.7] which was topped by M&A expenses in current in FY 2019. Free cash flow ended at negative ¥128.2, a larger outflow than in FY2018. Page 7 illustrates the details of items used for adjustment that I hope will you help you understand the variance between GAAP based operating profit and adjusted operating profit under non-GAAP. Page 8 results by segments. Adjusted EBITDA operating profit of global and others segments improved, but on the back of incurring structure improvement expense. Domestic adjusted operating profit decreased year-over-year, but excluding the structure cost adjusted operating profit did increase year on year. Page 9 shows pre-adjusted operating profit by segment for your reference. Variance between pre-and post-adjusted operating profits for global and public were ¥7.3 billion and ¥4.1 billion respectively. Intangible assets, amortization cost and M&A related expenses incurred by the public business in relation to Japan Aviation Electronics as well as those by the global business in relation to NPS KMD and NEC Group were adjusted. Page 10 summarizes the FY 2019 results. On the back of favorable business environment in Japan, all the segments increased their sales. In spite of incurring structural improvement expenses, Public, Enterprise and System Platform businesses improved their operational profit. On the contrary, although after adjustment safety recorded a positive operating profit, we were not able to resolve risks of display energy and optical IP that have been explained during the third quarter earnings session. As a result, again the forecast global business deteriorated by ¥10 billion. We take this situation seriously to improve the profitability of global business from FY '20 and beyond. We undertook measures in the fourth quarter such as the structural reform of our global operations and recognition of fixed assets to goodwill impairment loss. One-time cost of ¥20 billion was therefore posted in FY '19. Page 11 summarizes the profitability improvement metrics implemented in FY '19 with FY '20 and beyond on line. As a result, our voluntary early retirement program and optimization and plans to conduct in Japan as well as the streamlining of overseas operations, structural improvement cost in FY '19 amounted to ¥35 billion. As planned ¥30 billion fixed cost was reduced out of which ¥4.5 billion impact was already realized in the fourth quarter of FY'19. Furthermore in our global business, NEC Australia posted impairment loss and expense incurred to realize profitability improvement in the future. Page 12, we completed the sale of Electrode business to Envision Group in the end of March. In FY '19, transfer of shares of NEC Energy Devices contributed ¥9.1 billion to operating profit while the disposition of Automotive Energy Supply Corporation shares provided ¥10 billion non-operating profit. Next, financial forecast for FY ending March 2020. Page 14, revenue is forecasted to be ¥2.950 trillion. In the absence of one-off expense and the emergence of positive impact of structural improvement, adjusted operating profit should remarkably improved year-on-year reaching ¥125 billion. Adjusted net profit is forecasted to be ¥74 billion. Next, free cash flow. In the absence of KMD acquisition cost and structure improvement expense recorded in FY19. Free cash flow should improve by ¥77.4 billion, landing at ¥65 billion. Year-over-year improvement of adjusted net profit is expected, so we will resume interim dividend payout. As and the years before FY '18, annual dividend will be ¥60 with both interim and yearend dividend been ¥30. Page 15 is pre-adjusted operating outlook by segment prepared for your reference. Variances between pre-and post-adjusted operating profits are 11 billion for global and ¥4 billion for public businesses. Page 16 explains the year-over-year changes of the adjusted operating profit. In FY19 along with structure improvement cost of ¥35 billion, ¥12 billion was registered by assets optimization expenses including fixed assets and goodwill imperilment loss, which was topped by ¥3 billion of future profitability improvement cost. In FY '20, one-off cost of ¥50 billion will be NIM and ¥25.5 billion positive impact of structure improvement measures taking in FY 19 will realized. In total, improvement impact of around ¥25 billion is expected. Meanwhile proceeds from the sales of any NEC Energy Device have been truly recognized in FY 19 whereas employee bonus increase is factored in FY20. Now let's turn to our FY '20 forecast by segment. Page 17 Public, Public Infrastructure. In the absence of a large scale project such as expand satellite that existed last year. We expect decrease in revenue by controlling non-profitable projects, adjusted operating profit is expected to improve by ¥7 billion and should also enjoy the positive impact of structure improvement measures taking in FY19 which should all add up to the notable improvement of our profit. Page 18, enterprise business. Revenue is expected to the high as FY '19. In light of structure improvement, adjusted operating profit should improve as well. Page 19, networks services business. Since capital investment by telecom operators is still sluggish, we expect revenue to remain flat. In the absence one-off ¥3 billion loss from a specific project incurred in FY '19 and with the emergence of positive structure improvement impact, adjusted operating profit is expected to improve. Page 20 depicts System platform business. After per revenue, the replacement demand for business PC in the previous fiscal year has now decrease and we expect an overall decrease. For adjusted operating profit, business structure improvement costs incurred in the previous fiscal year have now decreased and this combined with positive impacts on structure reform we foresee substantial increase. Page 21, global business. For revenue, increase in safety, service provider solutions and submarine cable solutions are expected. Adjusted operating profit will turn into black due to the decline in impairment of assets and one-time costs needed for business structure improvement. We expect a 3% operating margin. Allow me to explain our Global Business in more detail. The bar charts on the left depict the scale of revenue from Asia businesses included in our Global Business. To promote higher profitability, selective orders for Wireless Solutions were emphasized and we forecast sales to drop. But for safety, KMD will contribute to stronger sales. Service provider solutions which include Netcracker that enjoyed strong orders in the previous year are expected to grow as well as submarine cable systems had also enjoyed strong orders. On Page 23, we show the reason for increase and decrease of global business adjusted operating profit and loss. In FY19, a one-time cost was ¥20 billion was recorded. This was disappeared in FY '20. We also expect positive impact of ¥5 billion from structure improvement. On an operational basis, safety is expected to improve by ¥14 billion and all-in-all versus last fiscal year an improvement of ¥39 billion and a positive ¥17 billion adjusted operating profit is forecast. On Page 24, we show adjusted net profits. In FY '19, we recorded stock transfer gains through the sale of AES, Automotive Energy Supply, and through improvement of adjusted operating profit. Current net profit is forecast to be ¥74 billion and improvement of ¥27.1 billion. Page 25 is for your reference. In accordance with our organizational change this April starting from FY '21 quarter actual and forecast have been updated. Certainly, I would like to present to you our progress of our midterm management plan 2020. There is no change in our target of revenue featuring yen operating profit a ¥160 billion and operating margin 5%. To obtain this goal, our focus is reform a profit structure, achievement of growth, restructuring of execution capabilities, and we will set back this chart to obtain this three management policies. From the next page onwards, I will describe results from FY '19 as well as future initiatives. Here, we show our approach to reform a profit structure. During FY '19, we pursuit reduction of SG&A an optimizing production basis, and we exerted efforts to turnaround the wireless solutions business as well as energy business. For wireless solutions business, we prioritized turning the business into black thus we strive to be focused and selective as well as implemented structure reform. We now can foresee the business, making a turnaround in FY '20 and have thus decided to continue this business. Through our collaboration with Ceragon Networks, we will suppress development cost and will further promote more partnerships and aim for operating margin of 5% within three years. For energy business, we secured on a global basis orders that put us in the top group during FY '19. However, we still face profitability challenges and FY '20 plan is based on conservative conditions. Again, we will execute initiatives inclusive of partnerships throughout this fiscal year to improve profitability. Starting from Page 28, I will explain achievement of growth. Through the acquisition of NPS, and KMD, NEC's safest city is forecast to enjoy strong growth. By leveraging M&A activities through NPS and KMD, we will further expand our value proposition and expedite international growth to attain $200 billion international revenue by FY'21. On Page 29, we show our approach to 5G. With NTT DOCOMO, we are currently promoting development of base station equipment in light of 5G commercial services. With our collaboration with Samsung, we are currently preparing for a co-proposal to a global telecommunications provider. In preparation for 5G implementation, we are conducting remote healthcare safety service, remote operation of construction equipment trials and more trials are in the horizon with KDDI and NTT DOCOMO. For the new player Rakuten mobile, we have been chosen as the prime IT vendor including OSS/BSS and we do believe that this arena will expand in the future. Here in Japan, we have acquired projects for biometric authentication. We have received large scale orders from Tier 1 European carriers for SDN, OSS/DSS. And with the submarine cable, a record high level of orders has been received. Such iconic projects are on the rise and we hope to pave the way to growth in FY '20 and beyond. As for digital shift activities and cross industry business creation, we deemed this as a major business opportunity for NEC. Thus, we have established a structure to expedite mid to long term growth starting this April. We will be focusing on expanding service business, utilizing disruptive technologies such as AI and proactively approaching businesses through collaboration between public and private sectors as well as across industry initiatives. Page 31 depicts restructuring of execution capabilities. In our endeavors to accelerate profitability from advanced technologies, dark data is making positive progress. In order to advance our activities in direct discovery business and healthcare, we plan to partially and then our company articles in the June shareholders meeting. With reform to maximize the power of our employees, we have launched Project Rise to transform corporate culture. We have established code of value and transformed our evaluation system as well. We have also played it in materiality for management teams that we should prioritize from the perspective of the ESG. We work through their efforts to maximize both economic and social value. Next on Page 32, I will explain capital allocation. In our previous midterm management plan for in 2016, the M&A investment range was ¥200 billion. We have been able to effectively utilize this up until the previous fiscal year for acquisition for NPS and KMD. For project investment approval procedures and understanding balance sheet risks, we have enhanced our risk management thus allowing us to execute investment, but at the same time making a strong financial base. For future investments, we will continue to utilize free cash flow. As for shareholders returns, in accordance with improved performance, we will resume for the first time in 12 years interim dividends and annual dividend will be increased from ¥40 to ¥60 per share. As for employees, we will increase business resources to retain good talent. Capital allocation will take into account balance of investment for growth, shareholder return and improvement and benefits for employees. Lastly, an announcement. On July 16th, we will host for the first time NEC IR Day where all units heads will attend. Each of the unit heads will explain their strategies to attend the midterm management plan. We will issue an official invitation, but we do encourage your attendance. Now lastly, our last year was the first year of our midterm management plan and this was the year where we shifted gears. Now, for this year which is the second year, we deemed this year as a year of turn around to dramatically improve our profitability, and in light of 2020, we will undertake concrete measures to manifest this. Thank you very much for your kind attention.
Operator: